Keigo Sasaki: Thank you very much. My name is Sasaki of Sumitomo Chemical. Thank you very much for taking the time out of your busy schedule to participate in our conference call. I would like to thank all the investors and analysts for your continued support and understanding of our business. I would like to take this opportunity to express our deep appreciation to all of you. Now I will present our financial results for the fiscal year 2024. First, please go to page four of the material. Before I go into the details, first, I would like to give you the summary of the financial year 2024 financial results. Core operating income for fiscal 2024 was JPY140.5 billion. Back in fiscal 2023, company incurred core operating loss of JPY149.0 billion. But compared to that, we achieved a V-shaped recovery in the year with an improvement of approximately JPY290.0 billion over the previous year. In the forecast announced in February this year, we expected the core operating income to reach to JPY100 million, thus actual OP income result indicates an improvement of more than JPY40 billion over the previous forecast. Some gains on the sale of businesses has been postponed to the year 2025. But we had already factored this in a risk buffer, so the gain has been roughly in line with our expectations. Thus, the increase in profit over the forecast means an improvement of actual performance of the business. As you can see in the graph on the left-hand side, looking at the current status of the business, the profit and loss shown in the blue bars is steadily improving quarter-after-quarter steadily. And ROIC result was 2.2%, which is not at all a satisfactory level, but still a significant improvement year-on-year. Now I will explain the details of the financial results. Please go to page five. Consolidated results for fiscal year 2024 are as follows: Sales revenue totaled JPY2,606.3 billion, an increase of JPY159.4 billion year-on-year. Core operating income, as mentioned earlier, was JPY140.5 billion, an improvement of JPY289.6 billion year-on-year. And below that, non-recurring items, including impairment losses of JPY26.3 billion and restructuring cost of JPY23.6 billion were offset by the recognition of JPY86.1 billion of our share of the gain on debt forgiveness of Petro Rabigh as a non-recurring item. And a gain of JPY14.3 billion on the sale of fixed assets, including dormitories and the company housing. As a result, the company recorded a total gain of JPY52.5 billion on non-recurring items. In the previous fiscal year, we posted a total of JPY269.4 billion in impairment losses in areas such as Sumitomo Pharma's patent rights and goodwill, Essential Chemicals-related facilities at our Chiba plant and other assets. And loss totaled JPY339.8 billion, including JPY48.4 billion of restructuring costs on the reorganization of Sumitomo Pharma's North American subsidiaries. But in fiscal 2024, non-recurring items improved by JPY392.3 billion, compared with the -- to the previous year. In fiscal 2024, operating income was JPY193.0 billion, a significant improvement of JPY681.9 billion from the previous year. Finance expenses amounted to JPY134.9 billion, a deterioration of JPY161.0 billion from the previous fiscal year, mainly due to the impact of losses related to the waiver of loans to Petro Rabigh. Out of this, foreign exchange losses amounted to JPY10.9 billion due to the appreciation of the yen from the end of the previous fiscal year to the end of the current fiscal year, and worsened by JPY43.4 billion, compared to the previous fiscal year. Income tax expense was JPY15.4 billion, an increase of JPY12.7 billion from the previous year. As a result, net income attributable to owners of the parent was JPY38.6 billion, a JPY350.4 billion improvement from the previous year. Regarding exchange rates and naphtha prices, which affect our business results, yen weakened to JPY152.62 to the dollar and, no surprise, increased to JPY75,800 per kiloliter, higher than the previous year. Next, I will explain the sales revenue by segment. Please refer to page six. First, I will explain on the sales revenue. Sales revenue for the entire company increased JPY159.4 billion from the previous year. And all segments reported an increase in revenue. The following is a factor-by-factor analysis of the year-on-year change in sales revenue. Increase by JPY18.0 billion is due to sales price. This is mainly due to higher selling prices in Essential & Green Materials segment resulting from higher naphtha prices. Increase of JPY85.6 billion is due to volume. In Essential & Green, sales decreased due to restructuring of aluminum and other businesses, but increase in shipment volume of other segments compensated for the decrease. Conversion of overseas subsidiary sales revenue into the yen was a factor in the increase of JPY55.8 billion. Please refer to core operating income by segment, please go to page seven. Core operating income and loss for the entire company improved significantly by JPY289.6 billion year-on-year. The following is a factor-by-factor analysis for the entire company. First of all, on the price, there was a JPY30.0 billion increase. This was mainly due to higher methionine prices in Agro & Life Solutions, and higher MMA and petrochemicals prices in Essential & Green Materials. Increased by JPY122.5 billion is due to the cost. SG&A expenses decreased significantly due to the progress in reorganization and streamlining at the Sumitomo Pharma's North American subsidiaries. The volume difference and other factors resulted in a positive JPY137.1 billion. In Agro & Life Solutions, shipment of INDIFLIN with higher gross margin increase, and the shipment increased due to a reduction in the impact of inventory backlogs in distribution. In ICT & Mobility segment, shipment of touchscreen panels increased, and the shipments of photoresists and high-purity chemicals increased due to a recovery trend in the semiconductor demand. At Sumitomo Pharma, shipment increased due to the sales expansion of three key products. In others and adjustments, there was a significant improvement due to the recording of gains from the sale of shares in the diagnostic radiopharmaceuticals of Nihon Medi-Physics and the Sumitomo Bakelite. Next, I will explain the consolidated balance sheet, please refer to page eight. Total assets as of the 31 of March 2025 amounted to JPY3,439.8 billion, a decrease of JPY495.0 billion from the end of the previous period. The decrease is mainly because of the waiver of long-term loans receivable from Petro Rabigh. Included in others under non-current assets and the sale of shares of Roivant by Sumitomo Pharma. Interest-bearing debt totaled JPY1,286.1 billion, a decrease of JPY277.4 billion from the end of the previous fiscal year, thanks to cash generation through short-term improvement measures. Total equity amounted to JPY1,074.4 billion, a decrease of JPY90.0 billion from the end of the previous fiscal year. Next, I will explain consolidated cash flow, please refer to page nine. Cash flow from operating activities was positive JPY233.0 billion, an increase of JPY284.3 billion from the previous year. This was mainly due to an improvement in income before income taxes. Cash flow from investing activities was positive JPY85.2 billion, a decrease of JPY197.5 billion from the previous year. In fiscal 2024, income increased due to the sale of shares of Roivant held by Sumitomo Pharma, proceeds from the sale of shares in affiliates and cross-shareholding and the sale of fixed assets, such as dormitories and company housing. Free cash flow was positive JPY318.3 billion, a JPY481.8 billion improvement from the negative JPY163.6 billion in the previous fiscal year. Cash flow from financing activities was negative JPY300.8 billion due to repayment of debt and increase in expenses by JPY350 billion. Next, I'd like to explain our full year forecast for fiscal 2025, please refer to page 11. Please look at page 11. This page shows a summary of the financial forecast for fiscal year 2025. We expect core operating income for FY '25 to be JPY150 billion, an increase of about JPY10 billion, compared to FY '24. As shown on the left-hand side and in the color of blue bar graphs, these are the underlying profit, excluding sales gains on business divestitures, albeit some negative impact from stronger yen, we aim to achieve JPY100 billion of underlying profit, excluding sales gains on business divestitures driven by a significant improvement due to the recovery of shipment volumes in each segment and a reduction in equity method losses due to the reduction in our equity stake in Petro Rabigh. Although we expect the sale of Sumitomo Pharma's agent business in FY '25, capital gains on business dispositions are expected to decrease slightly compared to FY '24. We will steadily accumulate growth to achieve the core operating income of JPY200 billion for FY '27 as outlined in our mid-term plan. Please look at page 12. I will now explain the business environment surrounding us. First, regarding the economic situation at the top, the outlook for the global economy is facing increasing downside risks amid growing uncertainty over trade friction and policy management. And here, the weather symbols show our perception of the business environment for our major business fields in the usual format. For crop protection at the top, overseas distribution inventory backlog is gradually being resolved, but price competition is expected to continue. For methionine, the market price is expected to fall after a pause in last year's market rise. For this space, mobile-related materials are performing well. For semiconductors, demand is gradually recovering. For petrochemical and raw materials markets, low margins are expected to continue. So much for the business environment. Now please turn to the next page. This page shows the impact of the U.S. tariff policy. At the top, we are describing the overseas sales scale. Actually, on page 39 of today's materials, you will find the overseas sales data. And it's about 16% or so or about JPY400 billion, and that is mainly from Sumitomo Pharma. As to the impact coming from the tariffs, we believe that it can be broadly divided into two parts. First, there is a direct impact, which is an increase in tariff costs due to the procurement of raw materials from outside the United States at our U.S. bases and an indirect impact due to the inclusion of the United States in the supply chain and macro factors such as the global economic recession, so direct impact and indirect impact. Let us look at the direct impact first. As to pharmaceuticals, at this moment, they are currently not subject to reciprocal tariffs by country and item-specific tariffs have not yet been decided. However, even if a 25% level tariff is imposed, we expect the impact to be minimal as the amount subject to tariffs is small. We expect a certain degree of impact on businesses other than pharmaceuticals, but we believe that we can limit the impact by taking measures such as first making efforts to pass on the increase in prices, shipping as much inventory as possible to the United States during the 90-day tariff grace period and optimizing our global production and sales system. As for the latter, indirect impact, it is difficult to predict its impact due to the high level of uncertainty at this time. Therefore, we have not factored that in the forecast. That said, we believe that shipments were brought forward to FY 2024, mainly in the ICT & Mobility business. So only that impact is factored in. So the impact, we believe, is about JPY10 billion on core operating income, which is included in the forecast. Now let's move on to the full-year performance forecast for FY '25 on page 14. Sales revenue is expected to decrease by JPY266.3 billion year-on-year to JPY2.34 trillion. Core operating income is expected to increase by JPY9.5 billion year-on-year to JPY150 billion. Operating income is expected to decrease by JPY88 billion year-on-year to JPY105 billion. Net income attributable to owners of the parent is expected to increase by JPY1.4 billion year-on-year to JPY40 billion. So we expect revenue to decrease, but profit to increase. As stated here, we are assuming a strong yen and raw material prices for the exchange rate and naphtha prices. Sales revenue and core operating income will be explained in the slides -- on the following slides. Regarding items below core operating income, first, in FY ‘24, as part of Petro Rabigh's financial restructuring plan, we waived our credit claims to Petro Rabigh and recorded a non-recurring gains of JPY86.1 billion as a share of the debt forgiveness gain generated by Petro Rabigh. On the other hand, due to our debt waiver, we recorded a financial loss of JPY109.8 billion, which is below operating income. In FY ‘25, there is no such impact. Therefore, compared to the previous year, there will be a large decrease in operating income, but net income will be at roughly the same level year-on-year. As for the dividend forecast for this fiscal year, as stated here, we expect interim dividend of JPY6 per share, end of term dividend of JPY6 per share, making annual dividend JPY12 per share. This means that we expect a dividend increase by JPY3, compared to the previous fiscal year. Next, on page 15, I will explain the segment revenue. We expect overall revenue for FY '25 to be JPY2.34 trillion, a decrease of JPY266.3 billion, compared to FY 2024. By segment, we expect a decrease in revenue in all segments. Analyzing by factors on all company basis, the sales price variance is expected to be negative by JPY12.5 billion. The volume variance is expected to be negative by JPY230.3 billion. And the difference in sales revenue of overseas subsidiaries on the yen basis is expected to be negative by JPY23.4 billion. The volume variance is significantly negative. This is due to periodic plant maintenance at Petro Rabigh in Essential & Green Materials and the fact that the sales of the subsidiaries are no longer consolidated due to the sale of these businesses in FY 2024. Next, page 16. We expect core operating income to be JPY150 billion, an increase of JPY9.5 billion from FY '24. We expect Agro & Life Solutions and Advanced Medical Solutions to be on par with the previous year, ICT & Mobility Solutions to decrease and Essential & Green Materials and Sumitomo Pharma to increase. Analyzing the company-wide results by factor, we expect the price variance to be negative JPY6.5 billion, compared to FY 2024. The cost variance to be an improvement of JPY12.5 billion and the volume variance, including increase or decrease in equity method investment profit to be an improvement of JPY3.5 billion. Regarding price variance, the terms of trade will improve in Essential & Green Materials due to the penetration of price increases and an increase in market prices for some products. But the decline in the market price of methionine in Agro & Life, the decline in sales prices of display-related materials in ICT & Mobility and the large impact of drug price revisions at Sumitomo Pharma are expected to result in a negative result for the company as a whole. Regarding cost variance, there will be an increase in depreciation expenses in Advanced Medical due to the operation of a new plant. But as various rationalization measures will continue to be implemented in other segments, we expect a positive result for the company as a whole. Regarding the volume variance, including increase or decrease in the equity method investment profit, we expect an improvement in the equity method investment profit of Petro Rabigh and an expansion of sales of three key products in North America at Sumitomo Pharma. However, due to the impact of early shipments due to the U.S. tariff policy, a decrease in gains from the sale of businesses and a decrease in the profit associated with affiliated companies due to the sale of business, it is expected to remain only slightly positive. Next, I will explain the consolidated cash flow forecast. Cash flow from operating activities is expected to be JPY160 billion, a decrease of JPY73 billion, compared to FY 2024. Cash flow from investing activities is expected to be negative JPY40 billion, a decrease of JPY125.2 billion, compared to FY 2024. In FY '24, we received income from the sale of Roivant shares and Sumitomo Bakelite shares, and we proceeded with the sale of core share holdings as well. And here, we are talking about significantly big amounts. We plan to sell businesses and sell strategically held shares in FY '25 as well, but income is expected to be lower than FY '24. As a result, we expect free cash flow to be positive JPY120 billion. We also expect the balance of interest-bearing debt at the end of fiscal year 2025 to be JPY1.19 trillion, so that's a decrease. This concludes my explanation of our financial results. We would now like to take your questions.
Operator: Now, we’d like to start the Q&A session. [Operator Instructions] I would like to call the first person to ask a question Mr. Watabe from Morgan Stanley MUFG Securities, please.
Takato Watabe: Thank you. This is Watabe from Morgan Stanley. Congratulations on the V-shaped recovery.
Keigo Sasaki: Thank you very much.
Takato Watabe: And I have two questions. First of all, the overall financial result. On the -- when you made announcement about the midterm management plan in March, you indicated some image and JPY120 billion to JPY130 billion as the actual performance result and the JPY30 billion to JPY40 billion will come from the sale of the business. But you changed this to JPY100 billion. Is it because of the impact of exchange rate? Maybe not so different from the previous announcement regarding the exchange rate. And so maybe the impact is because of the tariff policy. And how big do you think is the impact, based upon your actual results? So last year, how much was the gain from the sale of business, probably more than JPY60 billion, but could you please give us the more specific on the indication about the sale of business and the impact of the tariff policy of the United States?
Keigo Sasaki: Thank you very much for your questions. So the comparison between fiscal '24 and '25 is the point of your question. In fiscal '24 -- sale of business in fiscal '24 was amounted to JPY60 billion. And there are some slight changes, but the general -- roughly JPY60 billion and that is the number that we have closed. And in fiscal 2025, our plan is to conduct the sale of business up to JPY50 billion. So in terms of the actual business performance, JPY80 billion in fiscal 2024 and JPY100 billion in fiscal 2025, so that is the general trend we see. On the 4 of March, we gave you the presentation and the image that we indicated on that occasion was that as for fiscal 2024, so the total is about JPY100 billion, but the actual performance result was JPY40 billion. Well, the total of the JPY60 billion hasn't been changed. So it is reflected and embedded in the total. But the increase from JPY40 billion to JPY80 billion is what we foresee. We took some factors as the risk factors, but they didn't emerge as the risk. And starting from 2025, there are some -- the project of 2024, which have been on the front-loaded or postponed, and that's seen in 2025. So '24, '25, the difference between these two years was -- will be about JPY10 billion. So as for the actual performance, the target was on the 4th of March, we indicated our target of JPY40 billion, but it has increased up to JPY80 billion now. And for each segment, it increased, particularly the ICT & Mobility, there are some other projects that have been front-loaded. And so as I mentioned, in your question, so because of this factor, well, it will be lower in 2025. But looking at year '25 on the 4th of March, when we explained our plan, well, the JPY150 to the dollar was the exchange rate assumption. But we reviewed the business based upon the exchange rate of JPY145 to the dollar. So core operating income, well, the impact. Well, the JPY1 difference in exchange rate is equivalent to JPY20 billion or so. So that is the reason behind these numbers.
Takato Watabe: Yes, the gain on sales of the business, Asia -- the JPY45 billion in the Sumitomo Pharma Asia. And so that is the main portion. Nothing more than that. There are some, but they are not big. So altogether, JPY50 billion. And Essential & Green Materials, JPY48.3 billion improvement is what you've mentioned. But your equity stake in the Rabigh is down, and do you see the benefit or the positive impact of this and the lower equity holding? And how about the projects other than the Petro Rabigh? And when this 15% holding will be reflected on your numbers going forward?
Keigo Sasaki: Yes, in the Essential & Green Materials segment, that's the area of your question. First of all, on the 4th of March, we also explained about this point. But the equity holding ratio will be reduced and the impact of that is the point of question. So the equity method loss will be decreased about JPY40 billion is our projection and no change to that.
Takato Watabe: And the 22.5% on the sale, when is it going to take place? That's another question.
Keigo Sasaki: Well, initially, we expected that to happen in June, but it seems to be delayed in Saudi Arabia, and we need to negotiate with the regulator in the Saudi Arabia, which is taking time. So that is the current status. So we hope to realize this at the not-so-distant future. But right now, it is difficult to tell you exactly when this will be materialized. And EGM, Essential & Green Materials, we see positive factors like this, but -- and I mentioned about this idea a little, but we would like to make our business less dependent or susceptible to the changes of the market conditions. And we also pay attention to the exchange rate as well. And we have also streamlined our operations in the past years. So altogether, JPY48.5 billion improvement is what we expect to see.
Takato Watabe: Related to that point, so even with the delay, more than JPY40 billion, so that will remain unchanged. Am I correct?
Keigo Sasaki: No major change to that number. So that's what we'd like to stress.
Takato Watabe: Thank you very much.
Operator: Thank you. Next question is from Yamada-san from Mizuho Securities.
Mikiya Yamada: Here is Yamada from Mizuho Securities. On page 16, segment core income, Agro & Life Solutions, the volume variance, ICT & Mobility and the volume variance, I would like to ask questions about them. So the sales of the new pharmaceutical products is increasing, but the variance is not that big. Is it because of FX included here? So the JPY2 billion when the FX moves by JPY1, but that is for the full country -- full company, but these Agro & Life and ICT & Mobility are two biggest segments. So other than these, are there any other factors involved? Thank you.
Keigo Sasaki: Agro & Life Solutions, overseas, the crop protection products, the shipments -- the increase in shipments is factored in. Meanwhile, the yen is getting stronger, and there is an impact coming from that. For Agro business, as you know, there will be some impact coming from FX. So JPY152 becoming JPY145 per dollar, that will bring a big impact. And net-net, we have come to this number shown on this page. As to ICT & Mobility Solutions, compared to Agro & Life Solutions, the impact coming from the stronger yen is stronger. So that is reflected here. And also, the tariff impact is included to some extent. So the shipment increase -- sales increase is expected, but because of those outside factors, that's very negative, the JPY11 billion negative.
Mikiya Yamada: So Agro & Life, the conversion impact is main. So the JPY2 billion per annum impact, about 25% to 30% comes from Agro & Life and ICT & Mobility is an export business. So maybe the half of that JPY2 billion impact?
Keigo Sasaki: Yes, we usually say the following. Basically, these two segments are the main. The segments for ICT & Mobility Solutions accounting for 70% of the impact and the remainder is for Agro & Life. That's image that you can have.
Mikiya Yamada: So ICT & Mobility negative numbers without FX conversion that year-on-year, the volume -- other variances are almost zero?
Keigo Sasaki: Well, you can say that in FY '25, it will be slightly positive without the FX because we have incorporated increase in shipments, and -- but that is compensated by the outside factors. So without FX, then the positive results.
Mikiya Yamada: The second question, congratulations. Thank you very much for increase in dividend. And about JPY45 billion of the net losses and you are engaged in the structural reform and the dividend is to be increased this time because you -- for your shareholders. That also means that for this fiscal year, big restructuring or the -- which involves the large non-line numbers will be -- will come to its end. Is that right?
Keigo Sasaki: So the other numbers, then the risks are incorporated in the plan. So as to non-recurring numbers, we still have some EGM-related matters to work on. So the domestic, the petrochemical restructuring in that context. There are things that we can do or we cannot do. And these factors are factored in to some extent. We do not want to bring these activities forward to the future. So we'd like to do as much work as possible during FY 2025, and that is for recurring items.
Mikiya Yamada: Thank you.
Operator: Thank you very much. Let us move on to the next speaker. From SMBC Nikko Securities, Mr. Miyamoto, over to you.
Go Miyamoto: Thank you. This is Miyamoto from SMBC Nikko. I'd like to ask you two questions. First is about ICT & Mobility. From the third quarter to fourth quarter, the volume of the shipment of products and also -- can I also -- could you please explain the current status? For example, polarizing film for the mobile and for automobiles, touch sensors and the semiconductor chemicals and photoresist, if I could have these numbers, I appreciate it very much. And as Mr. Watabe mentioned earlier, '24 and '25, the difference between these two years was JPY10 billion, meaning that the amount -- the above JPY5 billion was front-loaded from '25 to '24. And how much of that is related to ICT & Mobility Solutions?
Keigo Sasaki: Thank you very much for your questions. First of all, ICT & Mobility Solutions and the current condition of the business. First of all, with regards to display business, TV application, large-sized displays, well, the TV set shipment, they peaked in 2020 and then certainly declining since then. And as for large-sized displays, we streamlined the operation in the past few years. And we tried to shift from large size to mid to small size and also switch to the mobile displays. As for TV application, well, we do not expect much growth. That's one point. And as for mid- to small-sized displays, for smartphone application and others, well, we have been shifting to OLED displays. And we are focusing upon this business. And we believe it's going to grow steadily. So in fiscal 2025, first-half and second-half, we are not disclosing our forecast on the -- for 2025 divided into first-half and second-half because of the ambiguity related to the U.S. tariff policy. But we generally expect the growth in 2025. As for automotive application, well, the number of units used for the automobile side is increasing. And so we expect growth in this area as well. And probably, you talked about the other companies. So generally speaking, from '24 to '25, we expect some increase in the business. And semiconductor materials business was another point you raised. So we expect the gradual recovery of the business. AI-related advanced leading-edge processes and the resist for those and also semiconductor chemicals, these businesses are increasing and growing. But for legacy applications, KrF or -- well, when I say the advanced it is ArF. But as for legacy application, recovery is somewhat lagging behind, but gradually, we also expect growth of legacy application in 2025 as well. So that means steady recovery of the market will be realized. And based upon that, the business is expected to grow. That is our observation. And the shipment, the accelerated and front-loaded and comparing '24, '25, the size of that and the shift was about JPY10 billion and mainly in ICT & Mobility. So that's what we are saying, 80% of that. So just the image, but please, you think that the 80% will come from that segment.
Go Miyamoto: So the positive increase in '24 and the minus or the reduction in '25, how big is it?
Keigo Sasaki: So this is just the image, and I cannot give you specifics, but...
Go Miyamoto: So 50-50 or are there any difference between these two?
Keigo Sasaki: Yes, just the image. But in my personal view, probably 50-50 split is the image. In '25, we expect some growth in the business. So that may mean -- so the negative repercussion in 2025 may be lower or limited, but this is just the image. So the -- roughly the difference is about JPY10 billion between these two years.
Go Miyamoto: Understood. Thank you very much. Second question is about Agro & Life Solutions. In the 2025, the expected growth in the export shipment is expected. So which products, for example, INDIFLIN, will be the leading company or the leading products or the -- do you have any idea about the products to be shipped more? And compared to the plan, the revenue of Agro & Life Solutions decreased from the projection. However, you achieved better profit than the plan. So could you please elaborate on this point more?
Keigo Sasaki: First of all, the items that will increase, as you mentioned, INDIFLIN, well, it was launched in Brazil three years ago. This year marks the fourth year since its launch in Brazil, and we expect solid growth of INDIFLIN. And in India, this year -- we hope to get the approval in India this year. So we also expect growth in shipment to India. So these are the main focus points. And biorational -- as for biorational, from '24 to '25, we expect growth of biorational. Of course, it depends upon the economic conditions of the markets and also impact of tariff policy, may be failed. But as for biorationals, we have production facility capability in the United States. So that may give us a business opportunity in a sense. So that's how we look at this business. As for Agro & Life Solutions business, generally, we expect a positive trend. And another point you mentioned was that the profit increased, but the revenue was down, so that's the another point of your question. So methionine -- related to methionine, well, price will come down. So that's how we -- what we expect. And as for methionine, unprofitable regions or the areas, we are trying to reduce such business, which is the unprofitable part of the methionine, unprofitable. And at the same time, price is coming down in some regions. So we are paying attention to that. Methionine is a bulk product and the impact on the sales is significant, but that consideration is also included in observation.
Go Miyamoto: Well, the revenue in 2024 was JPY10 billion lower than the original plan, but the core operating profit was higher by JPY2 billion than the plan. So could you explain on that?
Keigo Sasaki: I think it is because of the product -- the product mix, the high-margin products increased. So please understand this as the difference in the product mix.
Go Miyamoto: Understood. Thank you very much.
Operator: Thank you. We have already passed the time to close this meeting. So I see some other people who want to ask questions, but with that, we would like to close this -- the briefing session. Mr. Sasaki is going to make the last remarks.
Keigo Sasaki: I'm sorry. My answers -- I might not have been able to answer many questions. Sorry that we -- I answered questions from only three people. FY 2024, we could achieve our targets or rather we exceeded our targets. FY 2025, there's uncertainty, the visibility is not good. So this year's forecast. And on March 4, we announced midterm plan. FY 2027 targets are set, and we will make further efforts in terms of sales expansion and rationalization to achieve those FY '27 targets. So thank you very much for your continued support. Thank you for joining us today.
Operator: And with that, we conclude our conference call. Thank you very much for your participation.